Jozsef Varadi: Well, maybe I will just start -- take it from the -- and hopefully, the slide is going to move at some point. So, with regard to the performance of fiscal '23, capacity grew by 76% year-on-year, and this is 40% up versus pre-pandemic levels. You recall, we made a number of investment decisions into growth, London Gatwick, slot acquisitions, the opening of Wizz Air Abu Dhabi and the expansion in Italy are probably the most important investments we have made, and obviously, you see that through the capacity numbers. Passenger traffic reached over 51 million passengers. Just to put that in perspective, this is now a bigger number than Lufthansa's passenger number, so we carried more passengers than Lufthansa, of course, we carried more than British Airways and Air France. So that kind of puts us into a different spotlight when it comes to the European airline industry. Revenue was up 134% year-on-year and 41% versus fiscal '20. Ancillary revenue remained a cornerstone of the revenue production of the airline, it reached €37 per passenger in the financial year. We made progress on unit cost reduction, but this is a transitionary process, of course, but CASK, cost per available seat kilometer, came down by 8% versus previous financial year. EBITDA ended up at €134 million, and that translated into €535 million of net loss. You know it was a difficult year for Wizz Air and especially the first half of the financial year was very difficult. I mean, we basically observed most of the losses in that period.  And just to remind you, that was the period when the war in Ukraine broke out and significantly affected our network. We had to reshuffle a significant portion, roughly around 11% of our capacity from Ukraine and Russia to other new markets, creating capacity gaps and creating revenue immaturity gaps.  Also, we had to go through the summer, which became very problematic for the whole industry due to all sorts of external factors. And against those external shocks, we were not resilient enough to properly operate the airline, and that incurred significant distress and significant financial burden on the company.  We already started seeing a lot of improvements going through the second half of the financial year based upon the investments what we put into operational resilience. We actually put in a lot of measures, invested well over €100 million in terms of increasing the number of spares -- spare aircraft in the system, creating a robust standby system for pilots and cabin crew. We enhanced our spare part investment and logistics to make sure that if there is a technical matter, we can recover the aircraft as quickly as possible.  So, we are a lot more robust. And as a result, if you look at the European airline sector's operation, year-to-date in 2024 [ph] actually, Wizz Air is the best-performing airline in terms of completion rate. We canceled a bit more than 0.5% of our flights in this period, which is a huge improvement relative to last summer's 6% cancellation rate of the industry and that also included us. We ended up at 179 aircraft at the end of the financial year. This is significantly more than what we had a year before and even more relative to our pre-pandemic times given the growth of the business. As said, completion rate has improved in the second half, and ever since it's been improving and it's solid as we speak, okay. We will see what's going to happen in summer time. Obviously, we are not into the peak summer operation, but we're seeing that whatever happens in summer in terms of the quality of the operating environment, we are a lot better prepared and we are a lot more resilient and robust to cope with those issues. So, I'm not suggesting that we are expecting a perfect environment. It won't be perfect, but we're going to be a lot more ready to deal with it than last year.  Liquidity remained strong with €1.53 billion cash on hand, and during the year, we won the CAPA Global Environment Sustainability Airline award, which I think is a recognition of our innovations, our fleet enhancement, and our improving environmental performance relative to the industry. Could you please move the slide? So, if you look at the footprint of the business, it has not changed fundamentally in terms of market focus, but it has been growing significantly. As we have discussed, we look at Wizz Air in terms of geographical footprint on three pillars, bread and butter, prone to the airline's operation remains Central and Eastern Europe. We have been growing in Central and Eastern Europe.  Second pillar is our kind of select markets in Western Europe, that is the London market, in particular, Italy and Austria. And the third pillar is the “Go East” strategy, which I think is probably best manifested by the operation and the creation of Wizz Air Abu Dhabi, but also, we are expanding in the broader region in the GCC and the Middle East as an inbound carrier. With that eastbound expansion, obviously, the number of countries continues to grow and expect it to grow even further in the future as we operate more and more into that part of the world. And with that, let me hand over to Ian, who will take you through the financial details of the fiscal year, fiscal '23. Thank you.
Ian Malin : Thank you, Jozsef. Thanks everyone. Nice to see you. Could you please turn, thank you, to that slide? So, I'm pleased to present the fiscal year '23 audited numbers, the auditor would sign off. I know everybody wants to talk about F '24, but the year just happened, we need to talk about it. And so, there are some highlights notwithstanding. We ended up with €3.9 billion of revenue, which is 2.3 times what it was in F '22. So more than doubling. However, for reasons we all know our fuel costs tripled in the same period -- in the prior year -- compared to the prior year, and it was at €1.9 billion for the full year. Non-fuel costs also came in higher, higher than we would like, though in half -- in H2, in the second half, we saw costs start to come down versus earlier in the year. And ultimately, we delivered an EBITDA figure of €134 million versus a negative figure for the prior year.  Our operating loss was flat year-on-year, showing some improvement off of a higher revenue base, and our final net profit number ended up at a loss of €535 million for the year, broadly in line with consensus. I do want to talk about some of the revenue performance. So, I'm going to switch to the next slide. And you can see that we delivered a RASK of €3.98, which is slightly higher than where we were in F '20, roughly -- and 2% higher for the second half of F '20, but 33% higher than F '22. And this is due to a strong fare environment and continued ancillary growth. The investments that we made during the COVID period and in F '23 in terms of our broader network gives us -- gives passengers more choice and we are quite proud of the flexibility and the products that we offer. Louder. Is my mic not adjusted? So yes, so we're proud of the products that we offer, which we price using advanced computing to maximize revenue. In fact, our ancillary products delivered €2.29 more than last year and €5.32 more than F '20, which is more than the target growth rate that we've been using in that category. The mix of ticket and ancillary remains roughly the same, around half. So nice progression there and exciting things to come going forward. Next slide, please. All right. So ex-fuel, unit costs ended up 14% higher versus F '20 for the full year. But like I said, for H2, ex-fuel unit costs compared to F '20 H2 were up 8%, which is in line with the guidance that we gave at Q3, where we said ex-fuel costs expected to come down to single-digit increases versus F '20.  Versus fiscal year '22, ex-fuel costs have also reduced 8%, which is driven by higher utilization, higher seat count and overall cost reduction efforts that we embarked on over the winter. We faced the familiar challenges last year, such as the war in Ukraine, where we incurred costs associated with the reallocation of aircraft capacity and crew, high energy costs, and, of course, all the disruption topics we've talked about over the last few quarters that affected us last summer, including supply chain and labor shortages.  Now though with the pandemic firmly behind us, we've gone back to forward planning and risk management. And so, with fuel costs, you're going to see a much more competitive position as we've been layering in fuel hedges all last year and continue to do so. We also took a good look at our network and adjusted crew duties, invested in crew, added more spare standby crew, spare aircraft, established KPIs, looked at our maintenance strategy and our customer service strategy. So, a lot of investment finds its way into the cost base of F '23, and we expect the results of that to then proceed into F '24 and likely limit the cost increases going forward. If you go to cash, next slide, this familiar waterfall. So, you can see how we're managing cash. And predictably, operating cash reduced over the year, in line with our net loss. However, that was offset by inflows in revenues, so ticket sales associated with unflown revenues, so ticket sales collected for future flights. A slight increase in working capital, and that's basically with regards to payment terms, and being able to, as a bigger airline, with our scale, drive better pricing arrangements and working capital arrangements with our customer base. We had a cash outflow with regards to our U.K. and EU emissions trading credits, and that's an inventory item that we buy forward until we're fully purchased -- fully protected for the year on that, and that's something that is a cash outflow. And then we saw PDP payment refunds. And so those are deposits that we place with the manufacturer that get returned to us when we take an aircraft delivery. And then we had a €245 million inflow from a draw on the PDP facility, which we had talked about in prior quarters and at the last earnings announcement, we were close to finalizing, but finalized in this last quarter. So, we ended up the year with €1.5 billion in cash, including that PDP facility. And what that really is the way to think about that is more of an acceleration of future deposit refunds. It's a timing issue as opposed to a traditional leverage style instrument. However, you'll see how it's reflected in the balance sheet. Next slide, please. Comparing cash balances over the last four years, you can see that we tend to hover around €1.5 billion, and that's by design, €1.5 billion. You'll see that cash number grow as the business grows. Obviously, we have an obligation in January with a €500 million repayment, which we're anticipating and planning for. And so, we're seeing a strong summer, right? And so, the cash balances are progressing slightly ahead of forecast currently and the business has performed like that throughout the winter. So, we're very confident on where we are in cash, very pleased on where we are with cash.  And in terms of some of the dynamics on cash, if you think about where interest rates and deposit rates have moved since when we did the bond payments that have -- that we've been setting aside cash for, we're actually seeing a positive carry in terms of the cost of the debt and the cash that we're earning on our bank accounts. So that's helping as well. As I mentioned earlier, we have as a bigger airline, dramatically bigger airline, we have a lot more leverage with our suppliers and our customers to be able to drive the right pricing and the right working capital terms. And you'll also notice a trend where our restricted cash is starting to decrease, and that's because historically, we've had to put certain deposit instruments in place on our aircraft leases and then cash collateralize that. As we now mature -- continue to mature, we no longer have that style of obligation, which means that our restricted cash balances reduces as those old aircraft are redelivered and those leases expire and roll off of our fleet. So, we see a trend there where our restricted cash starts to decrease, and that will continue going forward as we recycle our fleet continuously.  And then like I said, we have the PDP facility. There's actually a natural repayment profile in this, and so every time a plane is delivered, rather than us getting the deposits like we were doing a sale leaseback, the deposit actually gets swept and goes towards repaying the facility. So that facility -- if you remember from the previous slide, was around €245 million. That facility is coming down every time a plane is delivered. And so that will naturally amortize and be available to us in the future for the next 2.5 years should we require additional liquidity. So that's a facility that we plan on keeping in place to deal with any disruptions. Next slide, please. This is the last slide here. So, you can see that a dramatically bigger business in terms of flights. Load factor for the year, just under 88%, but if you've seen from the traffic numbers, it is increasing. So, we see a positive trend in load factor and certainly significantly better than the prior year. Our stage length is increasing, and that helps in terms of utilization as well, which is at 11 hours. So better than it was in the prior quarter, which is 10.5 hours, but still short of the 12-hour mark, which is where we're hitting now and looking to exceed to end up closer to the 12.5-hour target that we put forward last quarter.  And then in terms of regularity, this is a slide that doesn't show how well -- it doesn't paint a good picture last summer, where you see 96% completion or 4% cancellation in June. But you can see that since then, like we said and like we promised, the targets that we set have delivered much higher, much better results such that in the -- certainly in this calendar year, we've seen north of 99% and consistently maybe since October. So, we're starting to see some improvements there, and we look to try and maintain that level ultimately as part of our customer service ambitions and our overall profitability.  So overall, we are -- there are no surprises in F '23. There are some positive things to talk about, and I'll hand the floor back over to Jozsef for fiscal year '24. Thank you very much.
Jozsef Varadi: Thank you, Ian. I would like to take you through some slides here, which I think are important for you to understand, especially to understand what we are doing with operations because it was a pain point in fiscal '23. But I think hopefully, you will understand it that it is totally rebased by now and up against a very different performance standard than last year. Also, I'm going to take you through a few slides on the demand side, on the market side, and talk a bit about fleet and sustainability and trying to provide you with an outlook for the current financial year. Could you please move the slide? Could you please move the -- thank you? So, unit cost. I mean, obviously this is the most important issue for the airline. We are in a commodity business, lowest unit cost, lowest cost wins in commodities, and this is the business model what we have. We have to come back to where we were prior to the COVID breakout in terms of becoming again the lowest cost producer in the industry. And I think we are well underway to achieve that.  So, if you look at the production side of the equation, seat kilometers, available seat kilometers are up 30% in the current financial year. Load factors are getting back to pre-pandemic levels as well as utilization. Actually, we are seeing utilization outperforming fiscal '20 levels, but we would be back to historical performance level. One significant difference though is the gauge of our aircraft and obviously, that brings a lot of efficiencies to the equation. Now the average seat count is 226, which was 219, last year and basically a lot lower back in fiscal '20 when we were primary operating A320s, but now the fleet has moved to A321s.  In terms of efficiency, productivity, crew productivity, productivity is improving quite dramatically in the current year. I mean, you recall last year, we had to drop fleet utilization, and with that, we also dropped crew productivity, but as now fleet utilization is enhanced back into historical levels, the crew productivity comes with that. The fleet age continues to improve. So, it's down to a little more than four years. With that, Wizz Air operates the youngest fleet of aircraft of any airline in Europe. And obviously, the scale benefit continues to unfold, enabling us to spread fixed costs across the system. We are going to operate 23 more aircraft in the financial year than last year. And importantly, given all the investments we have made into operational resilience and robustness, we are expecting disruptions to be a lot lower than last year. The 38% is not the intended improvement on cancellation rate. We intend to improve cancellations a lot more than that, but overall disruptions are expected to be still significant, but a lot lower than last year. And with regard to fuel, we are back into hedging. 60% of our requirements in the current financial year are hedged. And fuel price is a lot lower than last financial year. And importantly, when it comes to fuel burn, now 63% of our fleet is constituted by new technology aircraft, the neo aircraft, which was only 7% in fiscal '20 and 49% in the last financial year. So, you hopefully can see that the platform, the operating parameters of the business have improved dramatically versus last financial year. Could you please move the slide? So, talking about the operating platform and the resilience of the operating model, as said, we invested a lot, taking the learning of last summer, basically, we took the position that no matter what happens in the operating environment, we simply have to be a lot more resilient ourselves as opposed to just trying to rely on the performance of the supply chain. So, we've got the supply stream reconfirmed and committed by Airbus, and we are actually quite confident that what we are planning on in terms of aircraft deliveries will get delivered. We are stabilizing the summer flying program. We made a lot of changes to the design of rostering to make sure that we can easier execute the rostering of the crews even under these circumstances. We are increasing network and schedule density. That's important for recovery especially. We have decentralized operations. So basically, day-to-day operational decision-making is no longer centralized, but is decentralized at AOC level. Basically, what it means is that we double down on headcount in operational management. So, we added like another 150 headcounts to day-to-day operational management to much better and robustly address the issues we are potentially dealing with. The increased spare aircraft and spare engine ratios in the business, that's a significant investment to make sure that if there is a breakdown on whatever basis, we have spares to operate. We also increased spare parts. So, we are stocking up on spares and also, we are enhancing capabilities for AOG recovery. We are enhancing the logistics and the supply chain around that internally and externally. We have done quite some automations to make sure that we are less reliant on labor resources where there is a systemic solution to that. And with that, of course, we were scaling systems and leveraging data as much as possible. Now if you look at the results of that so far, so look at regularity, we are the number one low-cost carrier in Europe year-to-date. We are doing better than the European airline industry on completion rate. We are also doing better than the airline industry on on-time performance. So, look at the D0, we are up 4% versus the European average, which is obviously a huge improvement versus where we were a year ago, and we are doing better than any of the low-cost carriers we are competing with. So clearly, what we are seeing is that we made significant efforts. We invested quite a lot financially, but also into headcount and other resources, and now we are seeing the performance improving as a result of that. Could you please move the slide? Also, I think we've been gaining significant traction when it comes to brand recognition. We are holding the lines in Central and Eastern Europe, and we are seeing quite some improvements in terms of recognizing our brands in kind of the new markets or the Western European markets or the newly invested markets, as you can see. I mean, obviously, this is a process, but a significant progression has been achieved.  We are really putting the customer in the forefront of our activities. We inducted four new contact centers, call centers to make sure that whatever claims or issues people may have, then we can actually react to those with significant capacity. A lot of automation that has been happening, automating claims. I mean, we have no intention at all to withhold any payments or anything from customers. And actually, what we want to make sure is that customers themselves can resolve these issues. We launched Amelia virtual assistant on the Wizz App. And now the claim backlog is back to pre-pandemic levels, actually, lower than pre-pandemic levels. We have also moved the logistics around disruptions with regard to hotel accommodation. So, we're seeing that we are a lot better prepared to deal with the customer, whatever issues they may have. We are expecting the issues to be a lot less than last year, but whatever issues they still have, we are a lot better prepared to deal with them ourselves and also through our partners who are processing these issues. Could you please move? We have been expanding in Central and Eastern Europe. Central and Eastern Europe remains bread and butter for the company, for the business. So that's where most of the focus goes into. You can see that our market share positions have improved across the board pretty much, but also, we are improving our presence in the newly invested markets too.  We are expecting a lot safer growth profile to come through the financial year than in the previous financial years. Previous financial years, we invested a lot into new markets, into new routes, et cetera. Here, you can see that the backbone is already created. So, we are essentially putting meat on the backbone. So most of the growth, 84% of growth will come through as increasing frequencies on existing services, 14% growth is joining existing dots, existing airports. So essentially, this growth profile of the business is a lot more derisked versus the growth profile before.  And you can see that we are growing across the board. We are growing significantly in the CEE core markets. If you take September as a snapshot, last year, we had 83 aircraft in these markets. This September, we are expecting to have 92 aircraft. If you look at the new markets, the United Arab Emirates, U.K., Italy, Austria, et cetera, we had 49 aircraft, and that fleet will grow to 60 aircraft year-on-year. So, we are growing pretty much everywhere across the board, across all markets. Could you please move the slide? Thank you. We're seeing that the fundamentals of the network are getting better and stronger, more enhanced, more robust. So, if you look at maturity, the network is maturing. So, you just look at fiscal '22, you see that 15% of our capacity was less than a year old. I mean, obviously this is financially the most distressing. That comes down to 4% in fiscal '24. So, it's a lot longer profile. If you look at the mix of the network, it is getting more diversified, still heavily VFR-driven, but some other components, some other segments are also growing significantly lesser, for example, is coming to 21% of the capacity.  Very importantly, when you look at the frequencies, we are increasing frequencies, again, we are putting meat on the bone. So, the backbone is there and now we are enhancing that and with more frequencies. And obviously, more frequencies mean more operational reliability, but it also means higher-yielding -- being able to tap into higher-yielding traffic. We continue to balance capacity allotment across primary and secondary airports. 61% of our capacity is operated through secondary airports. Could you please move? Just a few words on the East. I think we are increasingly excited about the results of our East operations. In the UAE our Wizz Air Abu Dhabi network is now growing to almost 40 destinations, and that's a continuous process. The fleet is growing, nearly doubling to 15 aircraft and brand awareness is very strongly improving as a result of our growth. We're seeing that we are absolutely adequate in bringing in the right product, right services to the needs of the market.  Also, we are just taking off in Saudi as an inbound carrier. 24 routes are launched. Very quick traction in the marketplace with positive reaction. But it's not only down to these two countries, but we are growing essentially across the board in the Middle East, Jordan, Egypt, but also in Central Asia in most of the Stan countries. So, this is clearly a new market segment, which excites us quite a lot for future growth potential. So, with regard to the fleet, as said, we ended fiscal '23 with 179 aircraft. We are expecting to end the current financial year with 205 aircraft. As said, we continue to upgauge with the deliveries of A321neos. So, we are expecting average seat count to be 226 at the end of the financial year. 80% of the fleet essentially is now A321, mostly neo and some ceos. I think that is a tremendous transformation of the operating platform. Five years ago, we were 180-some seats per aircraft, predominantly A320, the operations. So, I probably can say that we have transformed the operation of Wizz Air from A320 to A321 by now.  As said, the fleet age continues to fall. As a result, obviously, we are deriving significant economic benefits, unit cost benefits, as well as the environmental benefits from that. So, talking about the environment, sustainability, Wizz Air has been recognized increasingly globally of its environmental performance, being the lowest carbon footprint airline in Europe, but one of the lowest in the world as well. You can see our performance in fiscal '23, a lot stronger than even our next best competitor and clearly might and more better than the industry. Our footprint measured as carbon dioxide per revenue kilometer continues to fall. So, in the current financial year, we are expecting actually quite a significant reduction of our carbon footprint by around 9%.  So, this remains in our focus. You know that we have taken a number of initiatives, not only relying on technology, but also investing into SAF, various commercial agreements and also equity investments into SAF initiatives. So, we're seeing that's kind of a second pillar of our sustainability commitment next to our best use of existing technology.  And the third pillar is obviously the transformation of the industry into a brand-new technology, quite likely hydrogen. We are piloting with Airbus to try to define the next hydrogen-powered plane and the operation of that plane, which is probably 15 years, 20 years down the line, but we want to make sure that we are effecting that process already. So really, our sustainability strategy is based on three pillars, maximizing use of existing technology, investing into SAF to bridge between current technology and the new technology, and also effecting the new technology by getting involved into the development of the hydrogen plane. We have been growing the organization substantially. Now we have over 7,300 people working for the company. We hired 2,500 people last year and we kind of continue that rate going forward. So very quickly, actually a good year from now, the company will reach the 10,000 mark in terms of number of employees. We put in a number of programs in place to aid people's career development, whether they are in the office or they are in the flight deck or in the cabin. On the one hand, this is obviously serving retention purposes, but also most importantly, it also serves long-term loyalty purposes.  We also got involved into a number of charity type of operations. We allotted 200,000 free tickets to Ukrainian refugees. We did rescue flights to Turkey after the earthquake. So, we try to be good to society and try to find our place to be as helpful as we can be given the circumstances. Also, we enhanced our governance processes. We appointed a Deputy Chair of the Board, Stephen Johnson, and also set up a new committee, the Safety, Security and Operational Compliance Committee. We improved the diversity of the Board of Directors. So, we think that we are kind of moving and enhancing our standing on each front of ESG, be it sustainability, being -- be it governance or be it the social aspects of the company. So, with regard to outlook, we are expecting a 30% capacity growth in the financial year. That's pretty much equally split between first half and the second half. Stage length is probably going to be around mid-single-digit, given the growth of the Eastern operation that implies longer stage length. Load factors will come back to pre-pandemic levels. So above 90%, well above 90%, I would say, so more approaching mid-90s. Ex-fuel CASK will continue to fall, as we are ramping up the efficiencies of operations, especially fleet utilization, crew productivity, and completion rate.  The tax rate is going to be somewhat higher than before. We are expecting roughly around 10%. We moved the tax residency of Wizz Air Hungary, the airline from Switzerland to Hungary, and that affects the tax rate on a going forward basis. And we are guiding our net profit of €350 million to €450 million.  And maybe just to spend a few moments on the swing of €1 billion in profitability over a year. Three major building blocks for that. Roughly around €400 million would be accounted on the basis of revenue improvement. I mean, again, just to put that in perspective, so last year, lots of new market investments, the reshuffling of capacity from Ukraine, Russia to other markets obviously distressing revenue performance. So, all those maturities are now flowing through the system, resulting in roughly around €400 million contribution to profit. Then the second block is ex-fuel CASK reduction. I mean, this is the core. This is what we can effect. This is what we can manage. That comes through on the basis of operational improvements. So fleet utilization, crew productivity, and schedule completion, less disruption, less disruption costs. And the remaining €400 million would be the brand of the macros, essentially, favorable fuel prices and significant fuel volume hedged already and somewhat balancing FX rates netting roughly around €400 million. So, when you look at the swings, that's kind of the construct of the €1 billion coming from these three pillars. And I think with that, I would close the presentation. So, it's over to you for questions.
Q - Jarrod Castle : Good morning, gentlemen. I'll ask three. It's Jarrod Castle from UBS. Your passenger tickets, the revenue from passenger ticket was still down for the full year versus pre-COVID, but obviously, 4Q nicely up versus pre-COVID, and then you say kind of first half, the ticket fares are going to be up year-over-year. But in relation to Q4, can you give any kind of color sequentially on how things are improving? And I guess you've just put up that €400 million number in the presentation, how you think -- is that -- can you split that maybe in terms of how you're thinking about fare increases within that? Maybe that's two, I don't know. But -- and then just kind of net debt, it's at €4 billion, 30 times net debt to EBITDA for last year, but it's probably dropping down 4 times to 5 times net debt to EBITDA this year, maybe even lower depending what you generate. Where are you comfortable? Like what kind of rate would you like to be at? 1 to 2 times net debt to EBITDA or is it just more about investment grade in terms of thinking?  And then just related to fleet, you talked about attractive financing. You've got some stuff coming up. Incrementally, what are you thinking in terms of incremental interest rate costs or cost of financing?
Jozsef Varadi: I'll take the revenue. Yes, I mean, I think the best way to look at revenue is that most of the distress to our revenue came in, in the first half of last financial year, and ever since, we have been improving. And with regard to H1, we are clearly up, not only versus last year, but versus pre-pandemic times as well. And the split of the €400 million is, roughly half of it comes on fares and half of it on load factor.
Ian Malin: Okay. In terms of net debt, we aspire to be in a situation where the only debt we have is the debt that's put on our balance sheet due to the IFRS 16 treatment. We don't really want to have external debt, and we have no plans to continue to require external debt. The debt that we have is the legacy issue from the COVID times where we were managing liquidity. So, we expect that the net debt ratio will come down as profit is generated, and the sweet spot from a ratings agency perspective is around 2.5 times. We're not necessarily managing the business because of ratings. We think the rating is a nice to have and that certainly helps the story and it helps in certain markets with regards to fleet financing. But we, as you know, had a -- now have a split rating, where we lost our Moody's investment grade. And after these results, we will engage with them to get that back. But we actually found that there was no impact having a split rating on our fleet financing. The fleet financings that we have, currently, we are fully committed or we've made commitments to lessors for the remainder of fiscal '24, and there is still an RFP out there where we're still awarding, and we see zero issues with regards to the split rating impacting our rates. What is obviously impacting our rates is the increase in base rates and -- but that's affecting everybody. However, we consistently hear that the combination from a lessor portfolio balancing perspective, the combination of the Wizz Air credit, split investment grade with the quality of the asset, which is the newest most fuel-efficient, most desirable aircraft, satisfies the portfolio requirement that many lessors are required to deliver on. So that makes us a very attractive opportunity for financiers, and we see multiple times subscription multiples when it comes to our RFPs as we go out there.
Jozsef Varadi: I mean, just adding on the fleet financing question, I mean, we are not seeing any changes in terms of financing margins, so I think we are retaining the margins, but, of course, the base rate flows through the financing costs. But I think we are really managing the margin side of the equation. So, we have not been seeing any inflation on that side.
Alex Irving : Thanks. Alex Irving from Bernstein. I'll ask three as well, please. First of all, on network structure. So, as you went into last summer, I think there was a discussion around the management team that the network was too complex. We had W patterns, we had too many connections within a single day. Are you happy with where that is now or is there further to do as we simplify into the coming summer period?  Second, around engines. So, if I have my facts right, I think you still have some GTF engines on most of your fleet. We've seen comments around the industry that these engines aren't behaving correctly in all conditions, particularly in hotter climates. Are you seeing any issues here on your planes? And then finally on Saudi. So, we've been talking about the joint venture for a while. Clearly, we're doing inbound flying into Saudi. Any update on a potential JV there, please?
Jozsef Varadi: Yes. Thank you. So, with regard to the network structure, I think we have simplified the rostering structure a lot. I mean, the network structure kind of flew through the rostering structure. It was quite to the edge in terms of productivity of the roster, which worked very well in a well-functioning supply chain environment, but broke down in a dysfunctioning supply chain environment. So, we have made all those simplifications. So, it is a lot more eased rostering pattern than what we used to have. And obviously, that adds to operational reliance -- resilience and robustness with that regard. So, I think it is a lot better than what it used to be.  With regard to the GTF issue, I don't think that the problem is down to the GTF only. I think this is more like the childhood diseases of new technology coming to the market, which simply just needs to mature. Maybe the manufacturers were too eager to come to market, and they should have done more testing and more maturity themselves. They kind of outsourced all these diseases on the industry, but that's what it is. I mean, the GTF has performance problems mainly in a hot temperature, severe operating environment like the Middle East. And as a result, we decided that most of the Wizz Air Abu Dhabi fleet will get replaced with classic A321s. So, we are derisking the GTF performance issues with that.  Now that doesn't mean that the V2500 engine operates the same way in Abu Dhabi as in Europe. Europe is considered to be a benign environment, but it means that it is a mature technology. So, it is a lot less subject to unexpected breakdowns. In terms of GTF operation in Europe, I think it's not perfect, but it is manageable. We are probably the one airline in the world that has not been grounding aircraft because of engines. I think everyone has started grounding because of running out of spares, but we have stocked up on spares on the one hand. And I think the way we have been allocating and operating the engines, maybe with some luck, we have been able to maintain operational integrity without grounding aircraft, and I hope we can maintain it that way.  With regard to Saudi, yes, we announced a joint venture, and actually, we have a joint venture in place, but we are not yet there to make an announcement on airline operation. We are still seeking ways of exploring opportunities in a way whether or not we should be operating as a base carrier in Saudi similar to the Abu Dhabi operation. But yet, we have made commitments to operate as an inbound carrier to the market with 24 routes and those routes are doing very well. But once we have news, we will announce.
Ian Malin: I just -- just one point on the engines. So, I think it's also just important to maintain perspective, okay? We have nine aircraft based in Abu Dhabi. It's still a very important market for us and we're very excited about it. But in proportion view of our portfolio, we're not -- it's not as if our entire fleet is based there, and we're being very strategic about how we preempt what potentially could happen based upon that environment by the measures that Joz spoke about. So just keep that perspective too.
Sathish Sivakumar: This is Sathish from Citigroup. I've got three questions here. So just going back to the revenue improvement of about €400 million. So that's like 10% growth year-on-year, and you are growing capacity by 30% year-on-year. So, I'm just trying to understand here, so what's happening to the yield assumptions there? You said 50% improvement comes from the fares, but the math doesn't seem to add up like 10% revenue, 30% capacity growth.  And then just on the capacity growth, how should we think about into '24, how much of it would be deployed on the existing routes, i.e., increasing more frequencies versus, say, new route mix? And then the third question is mainly around the load factor. Where are you seeing the NEOs that you launched that has come into the operations? How that load factors look compared to the rest of the network? Thank you.
Jozsef Varadi: Maybe I'll start with the load factor question. I mean, it's going to go back to where it was. So, I mean, we were at 93%, 95%. We're going to be 93%, 95%. So, I wouldn't worry about load factor, to be honest. I think what you saw in the previous financial years, I mean, first two years of COVID, obviously, we got affected by government-imposed restrictions, and that limited demand and then that affected load factor performance of the airline. Last year, predominantly, we were affected by the Ukraine reshuffle, capacity reshuffle, and also still the investments into new markets. And obviously, there is a bit of a buildup of load factors. But now relative to the situation, this is all mature business. So, you should be expecting a mature load factor performance. So, I think your expectation should be to see Wizz Air load factor performance be back into pre-COVID times, so somewhere around the 93%, 95% level.  With regard to revenue, again, unit revenue keeps growing because of maturity. And if you look at the growth profile of the business this year, and I was talking about it during the presentation, it is a very different profile versus previous years. Previous years, a lot of risk, new countries, new markets, new routes, new destinations, everything new. So, when you enter a new unchartered territory, obviously, the revenue risk is a lot greater than established market growth. And now this is already established market. So, it's essentially not only an established market, it is established routes. So, we are just putting more frequencies on existing routes. So, 84% of the growth this year will come through frequency increases. This is the most derisked growth profile you can deliver as an airline. So that's why you see the combination of 30% capacity growth and 10% yield improvement because you can -- you kind of get this kind of a tailwind. And also, you need to put that in context of the industry. I mean, the industry is getting exposed to significant cost increases, as a result, yields are increasing, fares are increasing in the marketplace.  So, with that regard, I think we are in a more benign revenue environment than probably ever before, and that's why we can take advantage of that. And so far, what we are -- what we have been seeing in bookings would totally confirm this view. So, this is not like a theoretical view, but this is very empirical. Now with regard to capacity, we were talking about how we are growing capacity.
Andrew Lobbenberg: It's Andrew Lobbenberg from Barclays. three questions. Can you talk about why you've gone for this pre-delivery payment facility when current trading is very strong, working capital is favorable, and you seem very confident in the performance of the business going forward, why did you need to secure that cash?  Second question would be around crew. You spoke about working on retention structures for senior cockpit and cabin. How much of a challenge is poaching and having people try to steal your crew and indeed recruiting crew to support the operation? And then the third final question would be around ETS. You tell us you are fully covered for the year ahead. You don't give us guidance on what price you're paying per certificate. So, can you offer us any help on modeling the ETS costs? Thank you.
Jozsef Varadi: Okay. So, well, from my perspective, we took the PDP facility not because we were excited about that facility to become available to us. We took it because of an insurance policy. We took that decision six months ago. I mean, a lot has changed over the last six months. I mean, you are seeing that the business is back on track. six months ago, we were hoping the business to be back on track, but we didn't have that empirical evidence. So, we simply just took an insurance policy on that. But the PDP facility is sort of phasing itself out. As we are putting up the money against actual PDP, essentially, this facility is just kind of melting down on a gradual basis, but, [Andrew], I would take it like an insurance policy we paid for. With regard to crew, that's a good question. I mean, obviously there is a lot of kind of stress coming, especially from the pilot market. But I think Wizz Air is distinctly different from most of the other airlines. I mean, first of all, I think we are very career-driven, given the high growth of the business. People, our pilots, cabin crew recognize the benefit of such model being able to move their career a lot quicker and a lot faster than in other airlines. So, if you, I don't know, take a pilot, let's say, at Lufthansa, you join as a first officer, I think kind of the promotional age is somewhere around 18 years to 19 years to become a captain. At Wizz, should you do a good job, within four years, five years, you are a captain. I mean, that's hugely attractive. This is hugely attractive. And we -- and this is why we are putting all these seniority schemes into play to make sure that once people reach this career step, they are still retained because in the early phase of their career, the career prospect will serve as a retention tool because they can move quickly. But beyond that, we need to make sure that they are also retained and they see the incentives why they should be staying at Wizz. It is a more volatile market than before, but we think that we are able to remain attractive to the market. But also, I would say that it's not only retaining existing people, but we are also grooming a lot of -- and breeding a lot of pilots and cabin crew ourselves, same as to the pilots. We try to get people into the company at the very early stage of their pilot career to make sure that we train them up, we develop them, we give them a job, and with that, we retain them for the longer run. And ETS, you want to take?
Ian Malin: Yes. So, the average ETS price for the forward purchases that we've made is around €75.
Harry Gowers : It's Harry Gowers from JPMorgan. two questions. Could I first just ask about the ex-fuel CASK? I mean, previously, I think you'd alluded to returning to pre-pandemic levels across 2024. So, is that still the CASK? And if not, has anything changed or worsened on the cost side?  And then second one, obviously appreciate the net income range and some of the other bits of guidance, which have been given. Maybe given that, could you tell us what you've baked in roughly in terms of the jet fuel spot price and FX rate as well for the open fuel exposure part in your assumptions? And also, any steer on interest costs for this year? Thanks.
Ian Malin: So, look, I mean, we're not guiding towards to a specific ex-fuel CASK number, does not mean that we've somehow relaxed our commitment to getting to pre-pandemic ex-fuel CASK levels. And that's why we were clear to say that we are showing an improvement year-on-year. However, we're only two months into the year. We have a lot of -- a lot to do and a lot more to get through the summer in particular with an environment that still is more disruptive than I think we thought of it would be at this time maybe last year or even six months ago. So, it's just too early to give a specific number in terms of what we think the ex-fuel CASK number is going to be. We want to leave some time to be able to do so and we want to leave some time to see how the summer progresses relative to our own investments and those of our peers. So, it's something that very much remains our focus. It's very much our target, and our -- the name of our game is ex-fuel CASK reduction. And so, we will come back to you in subsequent events, subsequent meetings to give you some more feedback on that.
Jozsef Varadi: Price and FX?
Ian Malin: So, yes. So, in terms of the fuel price, we've been pleased to see the movement in fuel since when we did our budgets and to where we are now. I would take the midpoint between where fuel was in February and where fuel is now as sort of the number that I would reflect on in terms of your modeling. And then the -- the last one was a steer on -- steer on interest. Yes, look, I mean, we talked about the leasing rates and how we're only really affected by the base rate, not the margin. And we don't really plan on having any more debt or utilizing any more debt. So, in many respects, the interest costs to me don't feature because my objective is to repay all third-party debt as much as possible. So ultimately, I think that this is a wait-and-see approach happening now on a macro level. And -- but back to the PDP facility, which is the only real facility we'll have after the bonds are repaid, we don't plan on using it anymore. We used it at the time because of the uncertainty back in November when we started the conversation around where things were in recessions and things like that. We've put it to have it in place. We're repaying it. And then we won't use it again unless something changes. And obviously, all this is subject to the usual carve-outs around any escalations in the macro world.
Neil Glynn : Neil Glynn from AIR Control Tower Research. I'll keep it to two questions, bucking the trend. The first one, a structural question rather than a guidance question on seasonality. You're not the only carrier to report a big winter loss, but pre-pandemic, your performance is, give or take, breakeven in the winter. You've obviously highlighted that leisure traffic has displaced VFR in terms of your customer mix and you've grown a lot since the pandemic. So, I'm just interested, how do you think about winter trading going forward? Should it look comparable to pre-pandemic in terms of breakeven-ish or has there been a structural change in that dynamic?  And then the second question, you've recently launched a flight subscription service, which is quite interesting. I know it's very early, but can you share your expectations with respect to the help on revenue per passenger to the extent that it helps and early traction of that new product in the market?
Jozsef Varadi: Okay. So, let me take all these. So, with regard to seasonality, yes, I mean, I think when you look at winter on a consolidated basis, it should be around breakeven, give or take, okay? So, I mean, given the size of the business, so I think it can be anything, I don't know, between €100 million loss to €100 million profit kind of range, but roughly dancing around the breakeven line. But if you look at the second half of fiscal '23, I mean, we were not there to call ourselves consolidated because we were still running the business with suboptimal utilization, suboptimal crew productivity, although schedule completion came into play. So, I think that was already improving significantly. But I think once we are fully consolidated and normalized, that's kind of the performance level you should be expecting us to deliver. With regard to the MultiPass initiative, I think it's very exciting. It's kind of new, new in the industry. And we tested it in Poland and Italy, and the test results were very encouraging. And on the basis, we decided to roll it out, but it has just been rolled out as we speak. So, I think it's hard to really comment on specific numbers, but we think that it is a very strong loyalty scheme for the consumer and also it is a strong revenue generating stream for the airline, for us. So, we think this is a proposition of a win-win to reflect our loyalty on both sides.
Conor Dwyer : Thanks, so much, Conor Dwyer from Morgan Stanley. two questions from me as well. So, one of the big concerns at the moment is, obviously, summer demand is looking quite strong, but it could roll over into the winter. I'm just wondering what level of flexibility you guys have, if any, in terms of both the pace of deliveries of new aircraft, but then on -- in terms of the lease terms, is there a potential for you to be able to move to a more variable power by the hour again on that?  And then finally on hedging. So obviously you're back hedging for this year. Do you think this is more of a permanent shift back to the hedging focus or just while jet fuel prices are particularly volatile? Thanks, so much.
Jozsef Varadi: So, with regard to winter demand, I mean, obviously, we have very limited visibility on winter bookings. So, we don't have sufficient data set to make a clear judgment on that. But to be honest, I'm not seeing anything that would suggest that there is a storm coming. And by the way, this discussion had been going on for two years. So, two years ago, okay, summer is good, but what's going to happen in winter. Last year, okay, summer is good, but what's going to happen in winter, where nothing happens in winter. So -- and I'm not seeing anything that would suggest otherwise going into this winter. I mean, really the flexibility what you have is utilization. I mean, it is not as flexible with the lessors that season by season, you just change the construct of the contract for flight hour-based rent. It is -- I mean, obviously you can always go back to Airbus and delay deliveries and they would love us to do that because they could deliver that aircraft at a lot higher price to someone else, so they would love us to do that. But I'm not sure that this is something what we would want to do ever because clearly, this has become a scarce asset, and having possession to that asset is, I think is a strategic priority for the business and we should not lose of it. So, if it's a declining demand, we will have to take back the flying program and we will have to reduce utilization of the fleet, but I don't think it would be structurally affecting the construct of the fleet.
Ian Malin: Yes. And then just before hedging, I mean, the feedback we get -- during COVID, we didn't actually manipulate the leases. We continued to meet our obligations. And that's part of the reason why we see a maintained attractive cost level for our leases because particularly in some of the Far East markets, I mean, we deal with lessors around the world, but certainly in the Far East, one of the things that helped our reputation and our credibility was the fact that we maintained the leases as they were and didn't modify them unlike other airlines. So that has helped us post-COVID. And just like -- if Airbus were happy to take the aircraft back, I think the lessors would be happy in many respects to take some of the aircraft back too if we asked, but we don't see that as a necessity or a situation that we even contemplate at this point because of the value of the assets right now and the fact that we have them where others are trying to get them.  On the hedging, it's a permanent shift. So, it's a policy that was put in place. It's a policy that we execute against. We follow it per policy. We look at the policy to make sure it's right and we modify it as necessary. But this is not a temporary thing because I think then notwithstanding having a policy, it would be classified as speculation. And that's precisely what we're not doing right now. This is a risk management tool and we're in the business of managing risk at this airline.
Conroy Gaynor : Conroy Gaynor, Bloomberg Intelligence. So just a question on ancillaries. How much of this gain is sort of general demand-led consumers accepting inflation to travel versus deliberate actions you've taken on the product side to increase the revenue there? And then the other one is, in terms of airport handling and route charges, is there much headwind yet still to come from this or do you think now this is something that could start coming down on a per-seat basis as you scale up in certain locations?
Jozsef Varadi: Okay. Well, look, I mean, on ancillaries, I think the ancillary performance of Wizz is very structural. So, I don't think this is subject to too much volatilities. We used to be saying that we think we can improve ancillaries by €1 a year. Actually, we are a little bit ahead of that. And ancillaries are a lot more kind of waterproof in crisis situations. So inflationary issues come into play or competitive issues come into play or recession issues come into play a lot more on the ticket side and on the ancillary side. So, I think once you build your ancillary structure, I mean, that is pretty solid. And I don't think that this is really subject to too many things. And we are kind of saying internally that we would be a lot better off transforming everything into ancillary even if it's like a 100% cannibalization of ticket revenue simply because it's a lot more solid, it's a lot more resistant than ticket revenue. Ticket revenue is down to macroeconomic issues, consumer demand issues, competitive issues, god knows what, but ancillary revenues tend to be very solid and they are holding up very firmly. So, I think we have all the incentives to put as much as we can into ancillary revenues and they are a lot less volatile, lot less subject to inflations and other measures. And with regard to airport handling, I mean -- I think it is still a bit of a black box in the system. I mean, of course, we are discussing all the issues with our airport and handling partners, and everyone is trying to make a significant effort to improve going forward, but at the same time, I think labor inflation is creeping through, especially handling layer. I think some constraints are creeping through the airport environment. I mean, London is a good example. I mean, all airports are becoming constrained. As a result, there is a scarcity game and the real estate game happening, and also an up-charging game happening as a result of that. So, I think we need to watch out on all these developments. But I would take you back to the point we were making earlier that we are still having 61% of our network flown through secondary airports. And the secondary airport environment, I think are a lot better to manage from our perspective, simply just because of the balance of power, if you want to put it that way. So, we are in a lot better bargaining position than dealing with the primary large airports.
Ian Malin: Yes. And in terms of just some of the numbers, I mean, we're seeing both airport and handling year-on-year for fiscal '24 going down. And if you think about the volume that helps drive that down, so there's two elements, I think its sort of a double whammy. One is that we are one of the few airlines that is growing as fast as we are because of the fact that we have the fleet to support that growth, and we're doubling down in terms of the frequencies, right, and flying to existing city pairs.  So, we're adding volume and we're also deploying that volume on to existing routes, therefore, giving us better volume pricing with the existing airlines with whom we have relationships with, so we can have the conversation with. So that's what's driving those costs down year-on-year.
Jozsef Varadi: I think the other thing which comes to airports, I think there's kind of a sustainability quotient is growing their end. And we are one of the very few airlines actually that can bring the A321neo, which is by far the most environmentally efficient aircraft today to the party. And as a matter of fact, I think they are all looking into some sort of incentive schemes how to get us into their territory. So that's playing in our favor.
Muneeba Kayani: Muneeba Kayani from Bank of America. Just a follow-up on ancillaries. Actually, your 4Q ancillaries were down sequentially. Anything to note there...
Jozsef Varadi: Sorry, what is down?
Muneeba Kayani: Ancillary per pax was lower in 4Q and -- versus 3Q. So, anything to note in there or is there just seasonality because of the Middle East in there? Just wanted to understand that.
Jozsef Varadi: I think its just seasonality. I mean, there is nothing special going on.
Muneeba Kayani: And then can you talk about your Western Europe growth plans? You talked about London and Austria. What are your thoughts on Italy and what are you seeing there? And just on Middle East so far, like what are the learnings and the kind of -- so far and what's working, what would you change?
Jozsef Varadi: Okay. With regard to Western Europe, I mean, we are growing essentially in each of the markets in Western Europe. So, we have London, two airports, Luton and Gatwick. We are the largest operator in Luton, but we are up against passenger limit. In Gatwick, we are not a huge operator, but we have a five aircraft base there, where we are up against slots at Gatwick, but we are trying to expand our operations to an extent possible, but we are subject to these capacity constraints. Regarding Austria, we are growing Vienna. With regard to Italy, I think we are majorly growing Rome. I mean, Rome is really going big, but the whole country is going big. So, we are actually quite upbeat with regard to the Italian opportunity. We think that Wizz brings in the right kind of product to the needs of the market. Let's not forget, Italy is fairly similar to the U.K. with regard to low-cost carrier transformation. The bigger part of the Italian market is served by low-cost carriers like India, in the U.K. So, we think that we are an absolutely adequate airline with adequate product and services to the market. With regard to the Middle East, I think the learnings are, it's a hell of a demand for Wizz and hell of a challenge for operating the airline, given the nature of the environment. And as said, we are changing the fleet from neo to ceo in Abu Dhabi. I think that's kind of the learning that new technology is great, but given the immature nature of new technology, it also poses significant challenges. So, we are kind of learning the right operating model, but in terms of the demand side of the business, it is very strong. So, we should do more. I think with that, we need to wrap it up. It looks like we are up against the deadline. Anything you want to add?
Ian Malin: [indiscernible].
Jozsef Varadi: Yes. Okay. So, well, ladies and gentlemen, thanks again for coming. Thank you for your interest and see you next time. Thank you.